Operator: Ladies and gentlemen, thank you standing by, and welcome to the FireEye Q1 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session.  Please be advised that today’s conference maybe recorded .  I would now like to turn the conference to your speaker today, Kate Patterson Investor Relations for FireEye. 
Kate Patterson: Thank you. Good afternoon and thanks to everyone on the call for joining us today to discuss FireEye’s financial results for the first quarter of 2020. This call is being broadcast live over the Internet and can be accessed on the Investor Relations section of FireEye’s website at investors.fireeye.com.
Kevin Mandia: Thank you, Kate and thank you to all the investors, employees, customers, and partners joining us on this call. I hope all of you are doing well. And I appreciate your interest in supporting FireEye.  We executed well against our plan and exceeded our guidance ranges for all key financial metrics during the first quarter. During the quarter, two themes emerged to me. First, FireEye has made determine our transformation. And second, the need for our frontline expertise and intelligence is accelerating. 
Frank Verdecanna : Thanks, Kevin, and hello to everyone on the call. Thank you for joining us today. To summarize, last quarter, we predicted that the momentum from the second half of 2020 would carry forward into 2021. And this was clearly true. It’s worth repeating that Q1, 2021 was our best first quarter performance in the company's history. And it follows an equally strong Q4 of 2020. Our Billings, revenue and ARR year-over-year growth rates accelerated from Q4 to Q1 on continued strength in our strategic platform cloud subscriptions, and services categories. The strength in our top-line metrics translate into overachievement on our operating metrics, and allowed us to raise our outlook for the year for revenue, gross margin, operating margin and EPS for the remainder of 2021. Before we move on to the detail of our Q1 results in our guidance for Q2, and the updated guidance for the full year 2021, let me remind you that I'll be referring to non-GAAP metrics, except for revenue and operating cash flow. Our non-GAAP measures exclude stock-based compensation, amortization of intangibles, non-cash interest expense on our convertible debt, and convertible preferred equity, restructuring charges, accretion on series a convertible preferred stock and other non-recurring items. Turning to the Q1 details. We delivered revenue of $246 million, $8 million above the high end of our guidance range, and our second highest quarterly revenue ever. Revenue growth of approximately 10% was the highest quarterly year-over-year revenue growth and rate more than three years. Our performance was driven by the growing adoption of our cloud products and controls-agnostic Mandiant Solutions, reflecting the market evolution Kevin discussed, and the ongoing mix shift towards the higher growth areas of our business. Revenue in the platform cloud subscription in Mandiant Services category increased 26%, reflecting the steady build in deferred revenue over the past two years. This category now accounts for 47% of non-services revenue, compared with just 39% a year ago. Note that both the growth and the mix shift are organic and reflective strength and cloud endpoint, threat intelligence and validation. Services revenue growth accelerated to 25% and reflected a combination of increased capacity from 2020 hires and a higher mix of incident response compared with Q1 of 2020.  Product and related subscription support revenue declined 8% year-over-year, reflecting lower deferred revenue balances at the beginning of the quarter, as higher appliance sales in previous years continue to amortize out of deferred revenue. I expect that the long tail of this trend will continue as hardware sales gradually decline over time, but that the impact on our total revenue and growth rates will diminish. Total annualized recurring revenue increased 1% sequentially, and 9% year-over-year. Growth in platform cloud subscription and Mandiant Services ARR accelerated to 22% year-over-year and accounted for 55% of total ARR at quarter end, this compared with 49% in Q1 of ’20 and was a result of strong performance in cloud endpoint, threat intelligence and validation Product and related subscription support ARR declined slightly both year-over-year and sequentially, as we continue to see stabilization in this area of the business. The shift in mix to our higher growth categories offset the typical seasonality we see in the Q1 ARR metric. We remain focused on annualized recurring revenue and revenue as the most important indicators of our top-line performance and market adoption. The ARR metric provides insight into the expansion of our installed base of recurring subscriptions without regard to changes in average contract renewals of large contracts or hardware refresh cycles. As we've seen any or all these factors can cause volatility in the quarterly billings growth rates, especially within the breakout categories. However, trended billings, especially when evaluated in conjunction with ARR performance can be useful as a leading indicator for revenue and the underlying business momentum. With that in mind, I'm pleased to report that billings grew 18% year-over-year, the highest billings growth rate in three years and the second quarter in a row double digit growth. Growth was broadly based across geographies, vertical markets and customer size. The weighted average contract length for recurring subscriptions was approximately 22 months, compared to 25 months in Q1 of 2020. Looking at our billings performance by category, platform and cloud subscription and managed services billings increased 45% year-over-year to $76 million. This was the second consecutive quarter of above market growth and was achieved even though the average contract length declined by two months in that category. The Respond acquisition did not contribute materially in the quarter so the acceleration in Q1 reflects true momentum for our cloud-based products and controls agnostic Mandiant Solutions. Services billings grew by 47% year-over-year. Although we emphasize revenue as the best performance metric for services. The billings growth in Q1 clearly demonstrates the sustained high level of demand for expertise.  Billing for on-premise product and related subscriptions and support declined by 70% year-over-year. This reflects continued year-over-year declines in appliance hardware sales, and a four month decline in average contract length for recurring subscriptions and support. Adjusting for the shorter ACL, that category would have declined to 6% year-over-year, better than our initial assumptions of approximately 10% to 11%. I believe our Billings, revenue and ARR performance in Q1 demonstrate the underlying strength of our business and the growing momentum for strategic solutions and services. Before we return to margins, I'd like to make a quick comment about the decline in average contract length in Q1 and our assumptions going forward. Recall that we have been expecting the ACL to decline for quite a while as we increased our emphasis on ARR over multi-year contracts. The trend is healthy for our business and consistent with industry trends, and the higher mix of SaaS Billings, as well as the higher mix of renewals in the product and related category. ACL is difficult to forecast with precision on a quarter-by-quarter basis, but our assumption for the remainder of the year is that remains in the range of 20 to 24 months. Turning to margins, our strong revenue performance resulted in an operating margin of 9%, above our guidance range of 6.5% to 7.5%. Gross profit margin was 73% compared to the top-end of our guidance at 71% and more than two points above Q1 2020 gross margin. The increase reflected strong services gross margin due to a high mix of incident response and higher margins for our cloud-hosted products as we continue to achieve efficiencies and economies of scale. Overall operating expenses declined about $4 million from the first quarter of 2020 and increased about $11 million sequentially. The sequential increase reflects the seasonal impact of employee-related expenses as payroll taxes and other expenses kick in at the beginning of the year, plus a full quarter Respond operating expenses and higher commissions associated with higher sales and incremental marketing programs to drive awareness and growth for our strategic solutions. Earnings per share was $0.08 above our guidance range of $0.05 to $0.07. The weighted average fully diluted share count of 244 million reflected a full quarter of shares issued for the Respond acquisition as well as higher average share price during the quarter. Turning to the cash flow on the balance sheet. With the acceleration in Billings growth and DSOs below 50 days for the second consecutive quarter. We generated cash flow from operations of $21 million. Capital expenditures of $10 million were above our guidance range of approximately $6 million. The increase in CapEx is primarily due to an increase in internally developed software as we ramp our investment in the modules of Mandiant Advantage platform, Cloud Endpoint and other strategic growth areas of the business. Our balance sheet remains very healthy, and we ended the quarter with cash, cash equivalents and short term investments of $1.3 billion. We ended the quarter with accounts receivable of $109 million, the lowest level of accounts receivable since Q1 of 2018. Total deferred revenue at quarter end was $911 million of what 65% was current. Now let's turn to our outlook for the second quarter and our updated outlook for the full year 2021. For Q2, we currently expect revenue in the range of $246 million to $250 million. For the product and related subscription and support and platform cloud subscription and managed services categories, we expect year-over-year growth rates approximately consistent with Q1. We expect the services year-over-year growth rates to be slightly less than the 25% we delivered in Q1, but still towards the high end of our 15% to 20% target range. This implies relatively flat services revenue with Q1, which assumes the mix of incident response versus other strategic consulting is closer to historical levels instead of the higher mix we saw in Q1. We expect gross margin of between 72% and 73%. We expect services margins to decline slightly from Q1, assuming and lower mix of IR and return to the 52% to 54% range. We also expect products subscription and support gross margin to remain in the mid-70s. We expect operating margin of between 9% and 10%. This implies operating expenses are approximately flat with the first quarter on dollar basis. Using a fully diluted share count of 247 million shares, we expect fully diluted earnings per share of between $0.08 and $0.09. For 2021, we are raising our revenue guidance range by $20 million at the midpoint representing growth of approximately 8% for the year. We expect gross margin of between 72% and 73%. We are raising our operating margin guidance range to 10% to 11%. These ranges results in a non-GAAP earnings per share of $0.39 to $0.41, based on a weighted average shares outstanding of approximately 250 million on a fully diluted basis. Embedded within our annual guidance are several assumptions. Our annual growth rate assumes revenue from product and related subscriptions support to decline by 10% to 11% for the year. Revenue growth towards the higher end of 20% to 25% for our platform and cloud subscription and managed services. And we expect growth for Mandiant Services to continue to grow at around 20% year-over-year for the rest of the year. Please note that we are talking about annual growth rates for each of these categories and quarterly year-over-year growth rates for revenue can vary. Our operating margin range assumes gradual improvement throughout the year, more heavily weighted to the second half of the year. We have assumed an increase in facilities and travel and entertainment expense in the second half, but at a lower overall expense level as compared to pre pandemic facilities and T&E levels. We also expect to increase investments and marketing to increase awareness for the Mandiant Advantage solutions. Finally, as these expense levels we expect an operating cash flow margin of about 10% for the full year. Given the low level of receivables as we enter Q2, we expect to see slightly negative operating cash flow in the second quarter. Let me conclude by repeating that this Q1 was a great quarter and our updating outlook reflects our continued confidence in our future. I'll now turn the call over to the operator for questions.
Operator: Thank you.  Our first question comes from Sterling Auty with JPMorgan. You may proceed with your question.
Jackson Ader: Great. Thanks for taking our questions. This is Jackson Ader on for Sterling tonight. A couple of questions actually on Mandiant. How quickly do you think you can scale up the headcount that you need in order to kind of support that continued 20% growth through the rest of the year?
Kevin Mandia: That would be approximately 100 heads this year. We did similar number last year, and we anticipate being able to do it. 
Frank Verdecanna: And we continue to be tracking to that. It's been very consistent kind of ramping of heads. And so we've been able to continue to deliver on that. And you've seen kind of 12 record quarters of services growth there.
Jackson Ader: And, Frank, I think you mentioned the -- the part of the strength you were seeing capacity expansion for some of those heads that you added in 2020. But just curious where utilization rates are at the moment? And where -- whether things are running a little bit hot relative to what you expected in this first quarter?
Frank Verdecanna: Yeah, I think it's been pretty, pretty much consistent with our expectations, but it has been running hot really for the last couple of years. Yeah, I think the threat environment obviously continues to be very elevated, and that has driven various areas of our consulting to be -- that was chargeable as it can be as a team.
Jackson Ader: Okay, great. Thank you.
Frank Verdecanna: Thank you.
Operator: Thank you. Our next question comes from Fatima Boolani with UBS. You may proceed with your question.
Fatima Boolani: Good afternoon. Thank you for taking my questions. Kevin, I'll start with you. You really quantified for us how much the business has transformed on every single one of your KPIs. So clearly, you've sort of crossed that chasm on the transition. So I'm wondering what's sort of the remaining 30% of the business, that is still in the non-recurring category. What sort of programs incentives, or mandates do you have in place to shepherd the rest of the customer base over to some of your newer solutions, but more importantly, the newer form factors with some of your existing solutions? Just the strategy behind that. And I have a follow up for Frank, please.
Kevin Mandia: Yeah, I think we could probably spend the rest of the call on the strategy there. We got numerous strategies. I think you're referring to our FireEye products, correct Fatima? And what is their strategy as that continues at least on the on-prem side to decelerate? First and foremost -- 
Fatima Boolani: That's exactly right. 
Kevin Mandia: Yeah. First integrate -- I can tell you five years ago, first thing to do is get the IP out of the black box, I think it was literally a black box, by the way the appliance. So we've done that. And so it's focused on cloud, focused on integration of these products so you can get a suite that works together, focus on Helix being a to XDR platform, so that you can bundle email security, endpoint security, network security, and went on the bundling and the value you can get from that, because the folks that do and use FireEye products, rave about the detection efficacy. So now we just got to get that UI and usability improved. And that's something that everybody in software is always trying to do.  So quickly, again, cloudify it, period. And we've done that. So you can subscribe to all our software now. And then there's a cloud version for every single thing integrated and always keep working integration, say a better coordination between the products, make sure Helix is the nucleus of that XDR platform that we can bundle. So it's all integrated nicely and make sure to user experience continues to improve, those four things.
Fatima Boolani: I appreciate that. Frank maybe for --
Kevin Mandia: But I think it doesn’t work. 
Fatima Boolani: That's helpful. Now, I appreciate it as a long tail, especially for all the support attached to your on-premise product suite. Frank, maybe the question for you. On Mandiant Advantage, I can appreciate, that you've only had sort of threat intelligence out as the module. Curious if you can share some adoption statistics, or ASP statistics? And what do you expect in terms of contribution from the new modules that have been now added to the family and now available at the full slate? How should we think about that, as it relates to contribution in 2021? And that's it for me. Thank you. 
Frank Verdecanna: Yep. So we've seen -- it's obviously very early days of Mandiant Advantage. But, all our Intel offering right now is sold through Mandiant Advantage. And we had another really strong quarter through Mandiant Advantage for Intel, and that not caps-off a really strong year in 2020. So I would say, the new models we've added to it are ramping and going to do really well.  And obviously, if you look at the Mandiant Advantage umbrella, you've got validation in there, you've got threat intel, you've got our new automated defense with the Respond acquisition, and then we'll be launching Managed Defense Module in there. Those are all high growth areas for the business. And so we're pulling it all together and tying it all together with Mandiant Advantage. So that's going to be one of the primary growth drivers of the platform cloud bucket.
Fatima Boolani: Fair enough. Thanks for that.
Kevin Mandia: Thank you, Fatima. 
Operator: Thank you. Our next question comes from Brian Essex with Goldman Sachs. You may proceed with your question.
Brian Essex: Great, good afternoon, and thank you for taking the question. Kevin, I was wondering if you maybe can circle back on Mandiant Advantage. Mow that you have like three main products of that modules within that platform? With regard to go-to-market, where are you seeing the most competition? Are these competitive displacements, are these Greenfield opportunities? And how much is driven by kind of the halo effect, if you will, of the solarwinds attack and what you've been able to do on the back of that? 
Kevin Mandia: Yeah, so I'm going to peel that backwards. Brian. I think the halo effect from us for most being frontlines. It wasn't just solarwinds, but we find more zero days that I'm aware of than any other security company. And we find them by being on the frontlines responding to breaches. And as we do our investigations, we reach a point where we just don't know how the attacker broke in. So you start peeling back software like in December of a solarwinds and we found an implant. This year there’s others, I don't want to name every single customer we found a zero day at. But at the end of the day, that's what creates the halo effect is the knowledge itself, not the event. And we just happen to be on the front row seat for it.  So that does provide a tailwind for intelligence. Getting to Mandiant Advantage, what I see there is it's Greenfield, I don't believe it's ever existed where you can plug a technology and it's like adding 1000 experts to your network. You have to have to make Mandiant Advantage work. Here's the moat for it, Brian, you have to have a global Intel capability. And we have that we're in over 20 countries who speak over 30 languages. You have to own the front lines. And we have that where we did over 1,000 investigations last year. And a lot of people think, investigations are tactical, they're absolutely strategic.  It's how you get a front row seat to all the threats that are circumventing the safeguards of today, so we can with Mandiant Advantage our international intelligence team, and our breach intelligence that we're getting every single day, we can feed it to products that just don't learn, don't think can adapt to static, which is the majority of security products today because they simply don't have the knowledge and the intelligence that we have, as we clean up the message left behind from a lot of these products.  So bottom line, I think business as a tailwind. I've been in the incident response business for 20 years, it was not a market 20 years ago, it was not a market 15 years ago, it was not a market 10 years ago. It's becoming popular now because people are starting to see the strategic value in having that knowledge. But we've been invested in that for 20 years, almost. So many Mandiant Advantage the Greenfield opportunity is to automate that expertise and that Intel and bring it to you at machine speed. And then it's naturally related Brian to validation, the ability to do safely past your security safely and simply do that.  If you’re to test your security you got to do with real threats and real knowledge. You can't just be hey, I made software that can simulate a threat. Well, where do you get the content for it? We got the content. And so I just love the Intel marries up perfectly with the validation story that we have. So finally got it all together. And then the automated defense component of Mandiant Advantage. We continue to learn with it, we continue to train it. And really it's a -- it's our way of automating finding a needle in the haystack, which we spend a lot of time doing every single bed.  So that's a long-winded answer. But bottom line Mandiant Advantage provides a lot of Greenfield opportunities for us. I don't think anything like this has existed in the past, because no company's done the work to have the Intel international collections capability, frontline expertise, and then the AI and machine learning.
Brian Essex: Got it? That's super helpful. Maybe just a follow up on sales and marketing. Maybe Frank, where you investing now? And how much is channel versus direct? And how mature is that sales force at this point?
Frank Verdecanna: I think the sales and distribution is very mature. But we're investing quite a bit now in areas of brand awareness on the Mandiant Solution side on the Mandiant Advantage side. The other thing we're doing is investing more on inside sales because a lot of the conversions and a lot of the pipeline build on Mandiant Advantage can be handled by an inside sales force. So I think we're seeing more leverage there. And a lot of the work that Brian's been working with the team on product side is really to help usability helping the products easily demo and easily deploy which will ultimately help our channel leverage.
Brian Essex: Got it. Thank you very much, guys. Appreciate it.
Kevin Mandia: Thanks, Brian.
Operator: Thank you. Our next question comes from Erik Suppiger with JMP Securities. You may proceed with your question.
Erik Suppiger: Yeah, thanks for taking the question. On the Mandiant Advantage, can you talk a little bit about ways that you're easing that into the customer base? Have you looked at using a freemium model? Or how quickly is that easily integrated into the customer's environment?
Kevin Mandia: Right now there is a freemium model that we have out there and 1000s of folks have taken advantage of that. And at the same timeframe, all our current threat intelligence customers have been moved on to Mandiant Advantage. We only just added the validation and the automated defense so that now with a single credential, our customers can see the unity and the true integration between all three of these modules in the platform. But that's how we've done it to-date. Converted our hundreds of threat intelligence customers to it. And then we have a freemium model.  And obviously our enterprise sales folks, we just had our second sales kick-off this year is actually last week. Because it's cloud-based software, we updated a heck of a lot faster, a couple updates every single week, even more than that sometimes. So we have to do more sales kick-off. So we just continue to enable the team on more than a quarterly basis. So Frank, you want to add to that? 
Frank Verdecanna: No, I mean, it's definitely a focus area for us. It's also something that we've spent more marketing dollars on because we are seeing a really nice pipeline build and really starting to see a nice conversion.
Erik Suppiger: Is that service lends itself more to a channel sale.
Frank Verdecanna: Yeah, I think one of the things that we really when we were creating Mandiant Advantage that was really focused on making it something that can easily be deployed, easily be demoed and easily be purchased and purchased modules within Mandiant advantage. So we've really worked on kind of that usability and the ease of use and ease of kind of purchasing. And I think that fits the channel really well.
Erik Suppiger: Very good. Thank you.
Frank Verdecanna: Thanks, Erik. 
Kevin Mandia: Thank you.
Operator: Thank you. Our next question comes from Hamza Fodderwala with Morgan Stanley. You may proceed with your question.
Hamza Fodderwala: Hey, guys, good evening. And thank you for taking my question. Just two questions on Mandiant Advantage and now automated defense. Curious for starters, how do you see that potentially perhaps, cannibalizing what was built initially, vis-à-vis helix, like our Helix customer, do you think over time going to be converted towards the Mandiant Automated Defense? I think that a lot of the use cases seem somewhat similar as Helix going to be more of a more of a data lake, that's going to underlie what you guys have here. I'm just curious on that. 
Kevin Mandia: Yeah, there'll be an evolutionary, because Helix is the same with a ton of correlation rules and analytics. So what you'll see is there's humans that maintain that we do that though, when you get us you get our rules, you get our analytics, you get our expertise there. The difference is actually in how we provide the minimization of trillions of alerts down to actionable alerts and events is that we're using models in Mandiant Advantage with automated defense.  So to some extent, there's overlap. If you have great correlation rules, you have a mature SOC, you have 15 people maintaining your SIM, you may get the same outcome that you might get from a train system. But we do believe over time, Mandiant Advantage with models in it. And the fact that we're creating software that can think and learn is that that's going to overtake the human skills required to maintain those systems. So that's one of the big differences, just how we go about minimizing all the alert and volumes of alerts data down say, here's the threats that you got to pay attention to.  And then the second thing is, Helix has the data repository and you nailed it. It stores the data, it's got common event format rules in it, it is a SIM. Whereas Mandiant Advantage is a sidecar to SIM and it has to work with Mandiant SIMs. But it's applying the IP, that is our expertise in our intelligence, but it's doing it in a different way than how Helix does it.  So there will be -- depending on the customer, a customer may buy Helix get everything we ship with it and be happy with that. But they'll have to maintain some of their own correlation rules, where they can plug as a sidecar the Mandiant Advantage to get the rules and the minimization automated overtime.
Hamza Fodderwala: And then just on the automated response front. I mean, as far as the market stands today, sort of these XDR solutions. How much do you think like -- can actually be automated by software? I mean, I think like our own security team now sort of do one click type automation. And so I'm curious to like, really think about that where Mandiant comes in on the services side? 
Kevin Mandia: Yeah, I'll start with this first. Nobody cares how you provide the outcome as long as you provide it. So I would say a lot of people that I talked to, they wish they had Mandiant Advantage sitting in their stock and steering at every alert. We can't offer that that doesn't scale. But one thing we can do is create a system that learns things and it can do the minimization as if it was us. Kind of do it as well as the human, probably not. Going to do a lot faster, absolutely. And in some use cases it will do it better than humans.  But I like it and it kind of at this stage and security. It's similar to pilots are still on the plane even though the plane can take off and land itself. To some extent it is going to mark with automated defense, but I like the idea. And we do this today by the way in all our products whether you have our network product or endpoint product or email security product or automated defense, we've got a team of experts. Our advanced practices, folks mining all that data all the time to see, did we miss anything? Is there anything there?  And we're going through all the metadata that we collect to make sure our customers are safeguarded. And thank you for giving me an opportunity to market that, because we never actually talked about it. But we have some of the smartest security professionals on the planet, constantly safeguarding our customers that have bought our products. And they don't even know when they purchase our products, that there's human intelligence behind it, as well as a backstop.  So I see over the next few years, when you're training systems, it'll be just like the airline industry. I think I want our experts to make sure to constantly test and train to make sure we know the efficacy and boundaries of our software. And we've learned a lot of lessons along the way. But that's what I would want to buy the outcome of saying, if I've got Mandiant Automated Defense, regardless to how we deliver it, whether we deliver at 99% tech or 92% tech, but it will be a lot of tech? I would just want the outcome that feels safe. And that's what we want to provide.
Hamza Fodderwala: That’s super helpful. Thank you.
Operator: Thank you.  Our next question comes from Saket Kalia with Barclays. You may proceed with your question.
Saket Kalia: Great. Hey, guys, thanks for taking my questions here. Kevin, maybe for you. For those threat Intel customers that have now moved to Mandiant Advantage? Is the additional sales opportunity from your perspective for those customers to maybe cross sell them something like security validation? Or once they move to Mandiant Advantage that they can receive additional flavors of threat intel to kind of segment that that price point? Does that make sense in terms of kind of that opportunity with the threat Intel base? 
Kevin Mandia: Yeah, there's probably not one size fits all. But here's how -- I'm a security guy first and foremost, why do I want intel, either to stop something from happening or see if it could happen. Those two things. And that's how it gets into my operations. And so it's either -- and the third would be to anticipate, right.  So I think with Mandiant Advantage, if I'm sitting in a SOC and I've got our intel being applied to our data right away. And again it gives us a heads up display. So when I'm looking at alerts in my SIM with Mandiant Advantage, and the plugin that we've got with it, you're getting like a cockpit display like we got in the air force, where fighter pilots literally get the situational awareness displayed like front of their face. We do that.  Here's what we know, based on that IP address, that . Here's additional data you can drill down on. And we want to make sure you don't have to Google when you're responding to an alert. It's all just presented to you, not just our intel, but open source intel as well. So that's what we provide.  But a great pivot would be you're going through your log files as an operator. Do I currently have the problem? Am I currently compromised? Yes or no, is question number one you want to answer with intel. When you're done with that, let's say you're not compromising have a fire to put out there's no smoke on your network. I would pivot to could that be, how well does this work? And Christy and the team has delivered that. Within the last week we exaggerated and we have the ability now to just go straight from Oh, thank God, I don't have that problem. But you know, what? Could I? Let's run a couple paths and see how we're doing. So that's a great logical -- and that's an upsell right in the software itself.  Our account managers, I'm sure we're going to mention it. And we've trained everybody to see the relationships between it. But if you want to have an Intel-driven SOC, again, you drive. You want Intel to stop things from happening, to detect if something's happened, and then test if it's possible, it could have even happened in the first place. And that and that's we're linking all those decision points into the software. 
Saket Kalia: Got it? That makes a ton of sense. Frank, maybe for a quick follow up for you. For some of that product and related ARR. I mean, just to the earlier point made, I mean we certainly seen the transformation. But as you think about that product and related ARR, we call it that three to five year kind of -- I'm sorry, 3% to 5%, kind of year-on-year decline. The question is how much of that is from sort of natural terms that you would expect, versus customers opting for a cloud form factor that's in that platform line? Does that make sense? 
Frank Verdecanna: Yeah, it's a mix of both. Yeah. So especially on the email, and endpoint side, you do have customers migrating from on-prem to cloud. On the network side, we don't have as much to that migration. So on the network side, if ARR is going down it's related to kind of a smaller customer churn, that's there. But it is a mix of both. I would say the migration isn't right now a huge factor to it. But going forward, obviously, that could accelerate. But then again, we get the upside on the platform cloud bucket if that did happen.
Saket Kalia: Got it. Guys, thanks a lot for squeezing me in here. 
Kevin Mandia: Thank you, Saket. Appreciate it. 
Operator: Thank you. And I'm not seeing any further questions. At this time, I would now like to turn the call back over to Kevin Mandia for any further remarks.
Kevin Mandia: I'd like to thank everybody for attending. I want to congratulate the FireEye team for a great first quarter. We've never been more relevant or more needed in cybersecurity. So I want to thank the teams that have been on the frontlines, finding the zero days and protecting our customers as well as organizations that are our customers. So with that, I want to thank everybody. I look forward to speaking to you in 90 days with another update. Take care.
Operator: Thank you. Ladies and gentlemen. This concludes today's conference call. Thank you for participating. You may now disconnect.